Operator: Greetings, and welcome to the PLAYSTUDIO's Third Quarter 2023 Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce Samir Jain, Head of Treasury and Investor Relations. Thank you. You may begin.
Samir Jain: Thank you, operator. Good afternoon, and thank you for joining us for PLAYSTUDIO's third quarter 2023 earnings call. Joining me on the call today are Chairman and CEO, Andrew Pascal; and our CFO, Scott Peterson. Before we begin, let me remind you that during the course of this call, we will make forward-looking statements. These statements are based on our current expectations and beliefs and are subject to risks and uncertainties that could cause actual results to differ materially. Please refer to our SEC filings for a discussion of the risks and uncertainties that may affect our future results. We will also discuss certain non-GAAP financial measures during this call. These measures should not be considered as a substitute for financial results prepared in accordance with GAAP. Our results are prepared in accordance with GAAP and a reconciliation to comparable GAAP measures will be provided in our third quarter earnings release and in our SEC filings. With that, I'll pass the call to Andrew.
Andrew Pascal: Thank you, Samir, and welcome, everyone, to our third quarter 2023 earnings call. Earlier today, we published a press release containing our financial results along with commentary for the recently completed third quarter. As always, our release contains considerable financial disclosures, as well as our thoughts on topics we believe are pertinent to our company. I hope you had a chance to read the release and if not, I'd encourage you to do so. Rather than rehash what's contained there, Scott and I will spend a few minutes highlighting some key developments and save the majority of today's time for your questions. Adjusted EBITDA, and more importantly, EBITDA margins increased meaningfully versus year ago results. A number of initiatives that contributed to this, including our focus on operating efficiency and a more diversified business model, that now sees nearly 25% of our revenues coming from higher-margin advertising sales. We believe there's still more opportunities to improve our cost structure and optimize productivity, which will further improve margin gains going forward. As we've discussed before, our margins are a bit leaner due to our ongoing investments in new products, our playAWARDS platform and other growth initiatives. However, it's our view that we can achieve margin parity with our peers, as these efforts mature and contribute to our revenues. Our playGAMES Group continues to benefit from momentum in our growth portfolio with DAU and ARPDAU increasing throughout the year. Player interest in Tetris remains high, with many of the key performance metrics improving steadily. In addition to scaling our existing Tetris Prime product, we continue to advance the development of our new casual titles. With that said, I'm thrilled to share that we recently executed a new agreement with the Tetris Company, extending our exclusive rights to this important intellectual property through at least August of 2029. With this renewed commitment, we can now confidently pursue a more comprehensive and long-term growth strategy for this beloved gaming franchise. We're also optimistic about other products in our growth portfolio, where early tests of new features and capabilities has been promising. Most notable are the enhancements to some of our Brainium games, which have lifted our advertising revenues and contributed to our inter-network cross promotion, reaffirming our initial acquisition thesis. We plan to incorporate these changes, along with our myVIP program into the full collection of Brainium products throughout the remainder of this year and the early part of 2024. In doing so, we expect the portfolio as a whole will generate higher revenues in the coming year. We also remain committed to creating and publishing new games. As a result, we'll further diversify our portfolio, expand our player network and position the company for continued growth. Of course, crafting new games is more art and science and as such, the timing and ultimate success of each is hard to predict. Having said that, I'm happy to share that we're making solid progress with our new game initiatives and anticipate launching at least one new title within the next six to 12 months. The trends in our core portfolio remained consistent with the broader social casino industry. While we remain hopeful that the conditions will improve for the genre as a whole, we're undertaking numerous initiatives to drive organic growth, lift revenue and continue to expand margins. At the top of the list are the games we transitioned to new operating teams as part of our restructuring back in March. As a reminder, the teams overseeing these games now include key product leaders from POP! Slots, our top-performing social casino title. Given our experience, we continue to believe that both myKONAMI and myVegas can achieve meaningful improvements in payer conversion and spend per payer. Other initiatives focused on improving the performance of our core titles include enhancing our direct sales capabilities, new advertising products and improved capabilities with incentivized cross promotions. Now turning to playAWARDS; we continue to advance the technologies, program features and benefits of our MyVIP program and underlying platform. We're also making strides in our plan to launch our loyalty-as-a-service solution to external partners and continue to believe loyalty will be integral to the mobile gaming industry's future. We remain enthusiastic about the as is yet untapped potential of this unique strategic asset and look forward to more fully realizing its value. Before I hand the call over to Scott to discuss our financials, I wanted to reaffirm our interest and focus on M&A. We continue to actively search for and qualify compelling opportunities that are in keeping with our overall strategy and expansion plans. We have a history of growth driven by both internally crafted games, along with acquired game assets, and I expect it to continue into the foreseeable future. We've been thoughtful stewards of our capital, opportunistically accumulating our own stock, while maintaining substantial cash reserves to enable strategic acquisitions. While the public markets will always be unpredictable, we'll remain focused on optimizing the returns for our shareholders. I'll now turn the call over to Scott to provide some additional comments. Scott?
Scott Peterson: Thanks, Andrew. Good afternoon, everyone. In addition to today's press release, our Form 10-Q will be filed shortly. Please look to those filings for a comprehensive summary of our quarterly results. As Andrew mentioned, we were able to generate strong adjusted EBITDA performance again this quarter. As a reminder, Brainium was acquired in October of 2022, and wasn't part of our company in the third quarter last year. Both DAU and MAU in the quarter were heavily skewed by the inclusion of Brainium. Fourth quarter results will be more comparable, and a full annualization will happen in the first quarter of 2024. Excluding Brainium, organic growth in DAU and MAU was up double-digit percentages versus a year ago. This growth was driven by our casual portfolio that more than offset the declines in our core social casino users, which we believe were in line with the industry. These declines translated to lower paying users and lower DPU this quarter. Excluding the impact of our advertising-driven games, Tetris and Brainium, ARPDAU was up mid-single digits. The growth in ARPDAU was broad-based across our social casino portfolio. We ended the quarter with approximately $130 million in cash, no borrowings and full availability of our $81 million revolver. We did not repurchase any shares during the quarter and continue to have $30 million remaining in our stock repurchase authorization. Our broader capital allocation goals remain the same; investing in our games, building the scale in playAWARDS, pursuing strategic and accretive M&A and investing in our public equity. Looking ahead, we are adjusting our annual guidance given that there is only one quarter remaining in 2023. Our adjusted EBITDA guidance increases to $60 million versus the previous range of between $55 million and $60 million. We are tightening our full year revenue guidance to be between $305 million and $315 million versus prior guidance of between $305 million and $325 million. As discussed last quarter, our guidance assumes a pickup in spending to support our growth and development of games, as well as continued industry and economic stress. I will now turn the call back to Andrew for some closing remarks.
Andrew Pascal: Thank you, Scott, and thanks to everyone participating in today's call. While not without its challenges, I'm very encouraged by the progress we've made this year, and I'm quite optimistic about the many developments underway. Our efforts to increase profitability are working, and I believe we're on a path to margin parity with our peers. Our growth portfolio is adding meaningfully to our total revenues, and I expect the contributions to grow into 2024. I'm also excited about new games and development, and I'm hopeful that one or more of them will be in the marketplace in the coming year. Alongside these internal efforts, we continue to scour the market for acquisitions that can accelerate our growth and expand our overall opportunity. Before I conclude the call and take your questions, I want to address the ongoing conflict in Israel. As you know, we have a significant presence in the region with a number of our playmakers based in Tel Aviv. Like the rest of the world, we were horrified by the events on October 7 and profoundly saddened by what's transpired since. While we have comprehensive business continuity measures in place and a collection of services aimed at supporting our employees during this turbulent and complicated time, know that we'll continue to do everything possible to minimize the impact to our company and safeguard our team members and their families. And above all, we hope that someday soon, these cycles of islands and suffering will end and an air of tolerance, justice and stability will come to this beautiful and sacred land. I'll now turn the call over to the operator to take your questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Ryan Sigdahl with Craig Hallum. Please proceed with your question.
Ryan Sigdahl: Good afternoon, Andrew, Scott. I think, Scott, I didn't catch exactly, you had a lot of metrics. What was organic revenue growth, excluding Brainium in the quarter?
Scott Peterson: Organic revenue growth, just give me a second. Give me just a second, Ryan. Let me just...
Ryan Sigdahl: Yes, sure. You want to look at it, I can keep moving.
Scott Peterson: Yes, that's okay. But the answer is pretty close to being flat quarter-over-quarter.
Ryan Sigdahl: Okay. Okay. Then you mentioned a focus on and you have been making good progress in the margin expansion, focused on getting to margin parity with peers. Can you do that without a reacceleration in revenue growth or do you need some of these growth initiatives to really hit to get there?
Andrew Pascal: Well, there's one or two things, right? I mean we have a number of initiatives that are in their development stage, right, where we're investing substantially, that aren't contributing at all to revenues. So as they mature, they're either going to contribute to revenues and result in that margin expansion, or they're not going to work. In which case, we, as a company, have a strategic choice to make, to redeploy that capacity into new development efforts that will drive future growth, or to adjust the cost structure of our business, in order to achieve what we believe to be more mature margins. When we kind of look at and value in our business and we look at the core portfolio, we are at margin parity with our peers, even burdening it with the overhead, the more G&A and other expenses outside of that portfolio. And so really, our margins are compressed by the investments we're making in our new development opportunities and then, of course, the investments we continue to make in playAWARDS as a platform in its capabilities, so that we can leverage it more fully as a service beyond just supporting our own products. So I think that addresses your question. We're either going to enjoy the benefits of these investments or we're going to adjust our overall cost structure or we're going to redeploy that capacity into other future opportunities that we think are going to drive growth.
Ryan Sigdahl: Helpful. Yes, I was getting at the structural margin of the business, excluding all those growth initiatives, which you answered. My last question, you mentioned you've been testing the waters on external parties and partners using playAWARDS. You mentioned in the press release of the growth driver now. Curious kind of how that pipeline is progressing, what you're hearing and then maybe any timeline around when we might hear something more formalized?
Andrew Pascal: Yes. I mean I think it's still premature for us to kind of speak more specifically to what the overall shape of that opportunity looks like, and we've talked about our vision, which is to provide loyalty solutions to other key strategic partners or players in the industry. We've had a number of conversations. The feedback generally is pretty constructive and positive. I mean they see it as a really unique asset and particularly given the dynamics of the industry today and how difficult it is to acquire players, retaining them becomes all the more important. And so a loyalty program is really aimed very specifically at retaining players over a longer period of time, and as a result, driving up LTV. So early feedback, people appreciate and see the value of it, and we're in the early stages, just qualifying what does that mean? So how to really support a third-party partner, with not only the underlying technology solution, but all the other services that it might provide. And so it's been super helpful, because it's refined our thinking and it's helped us understand how to better approach exploiting that opportunity. So again, I would characterize the conversations as still being quite preliminary, but really instructive for us.
Ryan Sigdahl: Great. Thanks, Andrew, Scott. Good luck guys.
Andrew Pascal: Awesome. Thanks, Ryan.
Operator: [Operator Instructions] Our next question comes from the line of David Pang with Stifel. Please proceed with your question.
David Pang: Thanks, everyone. Can you talk about the puts and takes on guidance, which implies a fairly wide range in 4Q revenue? And what gives you confidence in your EBITDA outlook given this revenue range?
Andrew Pascal: I mean we did tighten the bandwidth of our revenue, so $305 million to $315 million, midpoint of $310 million. We felt that was just the appropriate thing, given the general uncertainty that we experienced in the market, which -- again, that's why we reduced it. From an EBIT perspective, we've been pretty consistent with our EBITDA projections and we just kind of leaned it in to be a single number. We've already kind of accounted for the additional UA that we expect to spend in the fourth quarter. So did I answer the question?
Scott Peterson: No. David, here. I will take it from here. The clarity on EBITDA, I mean, just remember, it also includes quite a bit from the expense side, which we do have probably a lot more control over, also like the mix shift that you can sort of see towards the casual games, et cetera. So there's probably a little bit more of a line of sight with that, as opposed to the revenues, which are, as Scott mentioned, much more based on how the broader economy is doing, how the category is doing. So that's why there's a little bit more precision in that number than the revenues.
David Pang: Got it. And separately, how do your players engage with playAWARDS during periods of economic weakness or uncertainty?
Andrew Pascal: They become more active in the rewards program because they are playing games for free and accumulating all of these real-world benefits that they then get to take advantage of. So we're in a tighter, more distressed economy and people are being a little more frugal, they take greater advantage of the program.
David Pang: Great. And just lastly, on the initiatives that you ran for Solitaire, what were some of the key learnings from that?
Andrew Pascal: That there's a lot of opportunities still within Solitaire as a game category, at least with our execution of it. And we think across the broader casual portfolio that we have. So the things that we're doing, that are impacting the fill rates of kind of our various impressions and new ad products that we're being very careful in how we insert them into the products or translate into revenue lifts. And so those -- as we prove them out in one game, we believe that, that can be pulled through and extended to the others. And there's a whole roadmap of other features and developments, some of which are very subtle and some of which are pretty material, like the introduction of the myVIP loyalty program for those products. So that's why we feel like it's been a great source of growth over the past couple of quarters, and we think it will continue to be.
Scott Peterson: You'll recall, too, David, when we purchased Brainium, we talked a lot about the synergies that were available that we just weren't able to quantify at that point. So I think what you're seeing now, is there is always a plan in place, but we've -- obviously, with the restructure, like a lot of stuff that happened in the interim since we bought the company roughly a year ago. So we're finally starting to address a lot of those opportunities that we saw at the point of purchase. So we've had a long time to think about this, and we're just starting to implement it now.
Andrew Pascal: I would say, not only think about it, but we've been implementing a lot of the core infrastructure and these titles, casual titles generally don't have the same kind of underlying infrastructure and back-end capabilities that allow you to deliver a lot of the core aspects of a loyalty program. So there was quite a bit of just infrastructure work that we had to do and put in place, in service of now launching the myVIP program into those products, and that's what's coming up here shortly. Is that good?
David Pang: Thank you.
Andrew Pascal: Okay. Awesome. All right.
Operator: Our next question comes from the line of Greg Gibas with Northland Securities. Please proceed with your question.
Greg Gibas: Great. Thanks Andrew, Scott. Appreciate you taking the questions. Wondering if you could speak to the timing, you commented on some new formats to come under the Tetris banner. I wonder if you could just speak to maybe what some of those similar games or new formats would be, and then kind of the timing of those launches?
Andrew Pascal: Sure. I mean our vision is that we're going to have a portfolio of Tetris products. Today, we have one, our Tetris Prime product. It's really focused on the players that are wanting -- the kind of more purist, traditional players that want that basic form of Tetris. We've actually introduced some features that I think make even the basic gameplay kind of unique and different. And we're seeing how that translates to both scaling our audience and the performance that we're seeing out of that product. We intend to then complement that game with several other Tetris products, each of which is a bit more casual in its nature. And so as we shared, when we first stepped into the rights for Tetris and now that we have this longer-term relationship, our belief is that there's an execution of Tetris that will make it a bit more approachable and appeal to the more traditional mobile casual and puzzle game audience, and that if we can arrive at a solution that appeals to that audience, well then there's the opportunity to scale up a product and that would be a perfect complement to the Tetris Prime product. So we have a couple of different game teams that are actively advancing what I would characterize as a more casual version of the Tetris game. And then it is our intention to craft a version of Tetris that even more than Prime really appeals to the purist, that delivers the traditional purist form of Tetris. So for those people -- that's what they want to engage with in Play, they'll get it. We'll, of course, complement it with some of the other aspects of our value proposition like playAWARDS. But we have a vision where we can see a world 12, 18 months from now, where we have a portfolio of products from the classic Tetris game, to these casual alternatives that are rich with meta features and the mechanics make it a bit more approachable and easier to play and engage with. So that's what we have in mind.
Greg Gibas: Cool. That's good to hear. And I wanted to follow up on your previous comments related to your Tel Aviv studio. From, I guess, a high level, curious if there are any disruptions there? And I ask because I know that you recently transitioned a few studios there and are working on improving some games at that studio. So just curious if there's -- whether it's an operational or financial impact or visibility is tough, but curious if you are seeing disruption there?
Andrew Pascal: Well, we're certainly having to adjust to the current conditions. We don't anticipate any real meaningful adverse financial impact, and that's because we have in place crisis management practices that we activated. In the case of our game portfolio, one of the primary things is to decentralize the leadership, such that each of the different products is directed and managed by people that -- while they still have a very tight connection to our core leadership team in Tel Aviv, they're not as dependent on that core leadership team in Tel Aviv. Over the last couple of years, we've invested quite a bit in development capacity and production support out of markets like Belgrade, which is really a companion studio to our Tel Aviv team; and in Asia, which also serves to support from a production perspective, a lot of the other products in our portfolio. So we're really not that dependent on the production capacity that's based in Tel Aviv. That capacity tends to be concentrated on just a few products. And there are a bunch of measures, as I just alluded to, that we've taken to ensure that we can maintain our continuity and support each of our products without any meaningful disruption. So that's a fairly general description of what we put in place. There's obviously beyond that, a very comprehensive and detailed plan by products where the entire teams are mapped and there's kind of redundant capacity in other markets that we could activate at a moment's notice if needed. And with all that said, I really want to highlight the extraordinary resilience on the part of our team that's in Israel. They care deeply about the company. They obviously invested deeply in the products they're attached to, and they feel this deep sense of responsibility to kind of support and maintain the business. And so even though there's this extraordinary event that's happening there that is -- as you can only imagine, it should be all consuming. They remain really focused and supportive of all the company's efforts and very flexible as far as adopting and supporting whatever the solutions are, that we think are appropriate for an interim period of time. So I couldn't be more proud of that team and their overall mindset. And of course, we're all deeply concerned about that and wanting to do everything we can to ensure that they have the flexibility to focus on their primary responsibilities, which is their own safety and the stability of their families and security of their families. So it's complicated, but I think that we've got all the right practices in place to ensure that we can continue to operate our business. And as we sit here today, when we look at the performance across the portfolio, it feels like we're managing pretty well.
Operator: There are no other questions in the queue. I'd like to hand it back to Mr. Pascal for closing remarks.
Andrew Pascal: Well, I just appreciate those of you that have dialed in. Thank you for your continued interest in the company. We look forward to continuing to close out this year. We've had some pretty meaningful improvements in our performance growth year-over-year, which we're excited about from an EBITDA perspective. Got a bunch of efforts that we've alluded to and touched upon that we believe are going to drive top line growth in the coming quarters. And so we just look forward to revisiting with you, once we get on the other side of the new year, and where we can talk a bit more about those things. So again, thanks for tuning in and looking forward to our next call.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.